Odd-Geir Lyngstad: Good morning, and welcome to Elkem's Fourth Quarter Results Presentation. My name is Odd-Geir Lyngstad, I'm responsible for Investor Relations in Elkem. To take us through today's agenda, we have CEO, Helge Aasen; and CFO, Morten Viga. The agenda consists as you can see of business update, update on market with outlook for the first quarter and a presentation of the financial results for the fourth quarter. After Helge and Morten's presentations, we will open for Q&A. And CEO, Helge Aasen, will take us through the first agenda item. So please Helge, the word is yours.
Helge Aasen: Yes. Thank you, Odd-Geir and good morning. Welcome everyone, both present physically and online. The key message this quarter is that Elkem is continuing to deliver improving results and we have initiated a strategic review of the Silicones division. In the fourth quarter, the operating income amounted to NOK 8.5 billion, with an EBITDA of close to NOK 1.2 billion, which represents a margin of 14%, just below our internal target. We consider this to be satisfactory, given the rather weak market conditions that we are experiencing and have for some time. The result in 2024 improved compared to the previous year and this is primarily a result of internal improvements. So I'd like to take the opportunity and give credit to the Elkem organization, showing relentless efforts in our continuous improvement work. And as we have talked about previously, Silicones has been the primary focus for the improvement program and have now delivered the best results since the third quarter in 2022. This is driven by internal improvements and higher sales volumes. Silicon Products also delivered a good result slightly down from the previous quarter, which is explained by somewhat weaker market conditions. And Carbon Solutions delivered another strong result this quarter. Earnings per share amounted to NOK 0.77 for the year. And our Board has proposed a dividend of NOK 0.3 per share, which is of course a subject to approval from our Annual General Meeting, which will be held on April the 30th. And as mentioned, we have initiated a strategic review of the Silicones division. The target is to streamline Elkem's business portfolio and allocate capital to accelerate growth in the Silicon Products and Carbon divisions. We have been doing an assessment for quite some time and significant investments have been allocated to Silicones over the past years. This has clearly improved our cost – both cost position and market position. However, sometimes you have to make a strategic choice and to further develop in Silicones and remain a leader in that industry. The Board and the management have the view that large investments will also be required to further strengthen that position going forward. So following that review, we have concluded that Elkem should explore other options for the Silicones business. The performance in Silicon Products and Carbon have been good strong over the past years. And we believe that these two business areas are fundamentally attractive. We have strong cost and market positions in both business areas and that there is a good potential for further growth and development, which we obviously would like to tap into. So to combine everything, we find that challenging and at the same time also provide sufficient funding to further develop silicones. So to sum up we think this is a good time to initiate this review. And the Silicones division's profitability is on an improving trend and the expansion projects in China and France have been completed. Then a quick look at our ESG performance. We have a strong focus on developing as a leading supplier of materials for the green transition and have two pillars that we focus our work on in this context. It's obviously to reduce CO2 emissions and other emissions. And the second pillar is to supply the green transition with critical raw materials. So, we have a number of initiatives going on in these areas. Our aim is to reduce and later remove fossil CO2 emissions, primarily coming from our smelting upstream processes. So, the first phase will be through increasing the share of biogenic reductants. And longer term, we have a zero emission goal and we are conducting, I would say, groundbreaking R&D work in consortium with others. We have covered this also previously. But the focus here is on at the moment is on carbon capture and storage project in Mo i Rana in Norway. And another project which is a process, a new process to produce silicon with no CO2 emissions at all. We have named that project Sicalo silicon production with carbon looping. We're also working on initiatives throughout the value chain and during the first half this year, our shipping partner NCL, will take delivery of green methanol-powered container ships. We're also receiving good recognition from various rating agencies and we recently received two prestigious SEAL awards for Sustainable Business Practices. SEAL is an acronym for Sustainability Environmental Achievement and Leadership. It's a U.S.-based award-driven environmental organization giving such ratings. And we have received awards for successful recycling of acid waste into raw materials for specialty silicones and also optimal foam control in the plastic recycling sector, a bit technical but definitely being recognized. And last week, we also received the updated scores from CDP. Elkem was awarded A on Forest and Water and B on Climate Change. So, we're very happy to have top score in both Forest and Water and see this as a good recognition of our transparency and our commitment. Coming back to the improvement program, I mentioned initially it has been a very important focus area due to the weak performance, especially in the silicones business area. And we're happy to inform you that the realized effects of the program amounted to NOK1.7 billion in 2024, which exceeded our NOK1.5 billion target. The demand for silicones products and basically and also in general remained weak during last year compared to the previous year. And as such these improvements are not impacted by any market tailwind, but explained by internal improvements. Silicones delivered a significant turnaround if you compare with the previous year a total improvement of about NOK1.1 billion coming from negative level of minus NOK605 million in 2023 to a positive EBITDA performance in 2024 of NOK521 million. So, a number of initiatives here, but mainly related to sales mix, product mix optimization, productivity improvements, and also organizational efficiency improvements. And on a group level, the total realized effects have been countered by continued market headwinds. A part of our improvement program has also been to reduce CapEx, and the target was a reduction of NOK 2 billion compared with 2023. We reduced that by NOK 2.2 billion coming from NOK 5.2 billion in 2023 to NOK 3 billion last year. So we have been working on continuous improvement for a very long time. It remains part of our business system, and we will obviously continue our focus on improvement work also in 2025, as an integrated part of everything we do in Elkem. Then an update on our power situation in Norway. It is a very important input factor for the energy-intensive part of Elkem the upstream. And we are well positioned and -- but we continue to evaluate and monitor the market continuously and trying then to secure further contracts when the opportunity comes up. And in December last year, we entered into a long-term contract with Hafslund for the period 2028 until 2035. That was a 400 gigawatt hour contract with delivery in NO3. And in the first quarter, we also signed another contract for nine years, expiring at the end of 2035. That's 220 gigawatt hours with delivery in NO4 price area. Obviously, the pricing of these contracts is something we cannot disclose but we -- if we look at our total portfolio we have a coverage of about 75% until 2030. So -- so far so good. Obviously, a lot of moving parts in the energy policy going on in Norway right now as you know. Then a few comments on trade tensions. It's escalating. I think we can all agree on that. It's difficult to predict, but it's becoming more important. And we have for some years developed a business model where we are trying to mitigate trade tensions and trade barriers. The strategy is to operate rather independently in geographic regions with independent value chains. And we have most of our raw material sourcing regional and sales take place within similar geographic regions. So it means that most of what we sell in the Western part of the world are produced in Norway and in the Americas. And most of what we produce in China is sold in the Asia Pacific region. Difficult to say, how this is going to play out and to what extent we will be affected by it. But I think in most of the markets we had a discussion yesterday, the markets we supply into, especially now talking about markets in the Western world are in short supply of Elkem's materials and we're not too concerned about the impact as we think prices will also be adjusted accordingly. But again, difficult to say. It's a lot of communication right now. Let's move on to markets. Starting with China and silicones primarily. We are focusing here on construction and automotive. These are two important sectors for Elkem, and for the industry. In September last year, Chinese authorities launched the stimulus package to -- which -- and they implemented both monetary property and fiscal measures to boost the economic growth. These measures are expected to positively impact domestic consumption in 2025, and promote growth both in manufacturing and in infrastructure development. There are differences in different sectors and the property market is expected to remain weak very high overcapacity in a way. The graph to the right show the development in new housing projects, and also in car production. In car or vehicle production, we see a modest growth of about 4% compared to 2023. And if you look at the share of EVs that's a much bigger change where we saw a percentage of 41% in 2024 versus the year before, which had a 32% share and 26% back in 2022. Property market is still weak. And here we see a significant decline in new housing projects in China. It went down 23% last year compared to the year before and even more 39% down, if you compare with 2022. So this has been on a downturn now since 2021 and is obviously having quite a big impact on economic growth in China. Then looking a bit more into the automotive industry. These numbers are light vehicles, whereas on the previous slide we showed all vehicles both commercial and light. The auto industry continues to face lot of uncertainty as impacted by potential tariff measures and other factors. We do have – we think there is some reason to be cautiously optimistic as projections indicate modest growth in most markets. In China, the production of light vehicles grew to – is expected to grow to 30 million units in 2025 and 31 million units in 2026. We also see modest growth expectations in the Americas with some positive trends and improving consumer sentiment. And the European automotive industry is still facing a lot of challenges from electrification and stagnant demand and we expect production to be stable at around 17 million units. So we'll see. The European Commission is initiating a strategic dialogue with the aim to boost global competitiveness. So we are hoping that European production will show some signs of improvement going forward. Then moving on to the Silicones. Markets remain impacted by Chinese overcapacity. There are some positive factors though. We saw upstream silox production increasing 12% last year compared to the year before and we know this is not a significant inventory buildup. So it does show that underlying demand has improved. At the same time new production capacity is continuing to put pressure on prices. And in November last year, the operating rate in China was 76%, which we think is too low to expect any price impact. So we have seen low, stable DMC prices in the range of RMB 13000 to RMB 14000 per tonne since April last year. And in other markets demand is also generally weak due to overall weak macro sentiments. So the only place where we have seen some improvements in silicones is into the specialties where we have seen some modest increases both in demand and in prices. In silicon metal, we also see a lot of stability in terms of pricing in the EU. China is – has been on a downward trend. And as you can see from the graph here on the right-hand side, the prices for silicon and ferrosilicon in Europe have remained stable in 2024. No immediate expectations for any pickup in demand but we see some improvement in ferrosilicon pricing. In the US, prices also are stable but at a significantly higher level than in the EU, whereas in China, silicon prices have fallen to new lows. This is mainly explained by a drop in demand from the solar industry and also, which again has led to a downturn in polysilicon. A lot of production has been suspended due to this situation. And we are going to reduce ferrosilicon production in Norway and Iceland in the first quarter this year, due to maintenance stops in Norway and the power curtailment currently in place in Iceland, due to low hydrological conditions. Coming to the market for carbon products, it's much smaller than silicones and silicon. We don't have reference prices here as you probably know. Demand varies across different regions, but it's very much driven by steel, which again drives demand for ferroalloys and aluminium, which is the main end markets for power carbon products. Global steel production was up 3% in the fourth quarter compared to the year before. And mainly this increase was mainly coming from higher production in China. European production was also up 3%, while North America was down 5% year-on-year. So the continued weak steel and ferroalloy markets are definitely negatively affecting demand for carbon products. There are a number of customers as I also eluded to previously that have announced furnace closures and delayed restarts during the first quarter of this year. But we're quite confident that Carbon Solutions will continue to deliver good stable earnings and based on a strong market position and a good specialty product portfolio. Then before Morten takes over to take you through the financials, I'll also give you the outlook for the first quarter. We are going to continue to benefit from our improvement initiatives both effects from the program last year and the new initiatives. The silicones markets are expected to remain stable. We will benefit from the lower cost position from the newly improved capacity in China and France. The demand, however, in the first quarter will be impacted by Chinese New Year and also some maintenance work. In Silicon Products, we will benefit from our strong cost and market positions. Some production curtailment as I mentioned in Iceland due to the power situation there and also taking the opportunity in Norway to do maintenance on some ferrosilicon capacity. Carbon Solutions will continue to take advantage of its strong market position. And also keep in mind it's a very geographically diversified business in Elkem. But, obviously, these announced capacity reductions will also have some impact on first quarter sales volumes. So with that I'll give the word to Morten Viga who will take you through the financials. Morten?
Morten Viga: Thank you very much, Helge, and good morning everybody. I'm very pleased to go through the results for the fourth quarter in more detail. The operating income amounted to NOK8.5 billion. That's up 5% compared to the fourth quarter last year. The Silicones division reported increased operating income, which is mainly explained by higher sales volumes. For the other two divisions, sales volume has remained at a quite low level during the fourth quarter. So Silicon Products reported lower operating income while Carbon Solutions reported unchanged operating income compared to the same quarter last year. EBITDA for the quarter amounted to NOK1.2 billion and all divisions reported an improved EBITDA compared to the fourth quarter of 2023. Our EBITDA margin was 14%, which is quite close to the long-term target of 15% to 20% EBITDA margin through the cycle. And even though we're not at the target, we believe this is a quite good number given the very weak market conditions that we have seen. And there were no particular one-offs affecting the EBITDA this quarter. So, as usual, we provide an overview of some of the main financial numbers and key ratios. I will not at all go into detail on all of them, but it is important to note that the -- as you know the Silicones division has been reclassified as discontinued operations and assets held for sale in the accounts. The financial figures in this presentation refer to Elkem Group including Silicones. But as you can see from the report, Silicones is reported as discontinued in the P&L, cash flow, and balance sheet. And for your benefit, we have included comparable figures for Elkem with and without Silicones in the table to the right on this page. Key ratios such as equity ratio, leverage, et cetera will remain unchanged. As mentioned, the EBITDA for the quarter amounted to NOK1.16 billion. And here the other segment included realized currency hedging losses of NOK27 million. Other items amounted to minus NOK159 million and this consists of non-cash losses on power and currency derivatives of NOK121 million, restructuring expenses of NOK31 million, and net other items of minus NOK21 million, and currency gains of plus NOK14 million. Net finance expenses were minus NOK69 million and consisted of net interest expenses NOK207 million and currency gains of NOK153 million and net other financial items of minus NOK15 million. The reported tax costs are quite high, minus NOK104 million in the quarter. Tax expenses exceeded the profit before tax due to low taxable income from silicones. So, let's then take a look at the results for the divisions and let's start with Silicones. Very happy that the division reported significant EBITDA improvements despite continued weak markets. Total operating income was NOK4.1 billion and this is up 22% from the fourth quarter last year and this is mainly explained by higher sales volumes. But as we have alluded to this was also partly countered by lower commodity sales prices. EBITDA amounted to NOK376 million, which represents an EBITDA margin of 9%. And this is significantly up from NOK68 million and 2% EBITDA margin in the fourth quarter last year. The improved EBITDA is mainly explained by higher sales volumes that is also driven by the new production line in China. But clearly also its driven by good results from the operational improvements and the particular EBITDA program that we have put in place. Sales volumes were up in all regions and we also saw higher sale of specialty products, particularly in the EU and in the U.S. So, let's then look at the Silicon Products division. The division reported total operating income of NOK3.7 billion, that's down 9% from the fourth quarter last year and this is mainly explained by lower sales volumes, weak market conditions. EBITDA amounted to NOK624 million, which was an improvement of 56% from the fourth quarter last year and the EBITDA margin was 17%. The improved EBITDA margin is mainly explained by lower raw material costs and improved product sales mix. But when comparing to last year, please then bear in mind that the fourth quarter in 2023 was negatively impacted by maintenance stop in Iceland and the Salten plant fire, which had a total effect of NOK85 million negative. The demand was generally weak during the quarter, particularly from the Aluminium segment, and ferrosilicon to steel. Carbon Solutions continues to deliver good and stable results, despite very challenging markets, and we have a very robust business model, particularly in this segment. Total operating income was NOK 923 million, which was very much unchanged from the fourth quarter last year. And here, slightly higher sales volumes was offset by somewhat lower sales prices. EBITDA for the quarter was NOK 281 million that's up 14% from the same quarter last year. The EBITDA margin remained stable at 30%, which is very strong given the weak market sentiment. The improved EBITDA is mainly explained by a positive product sales mix and lower raw material costs and this is partly then offset by somewhat lower sales prices. The demand was already quite low in Q4 due to capacity reductions among our customer base. So let's have a look at Elkem's key financial ratios. The EPS was minus NOK 0.03 for the quarter. That's clearly very low, but still an improvement from the corresponding -- last year. EPS for the full year was NOK 0.77 per share. And the Board has then proposed a dividend of NOK 0.30 per share which is in line with Elkem's dividend policy. This is of course subject to approval from the Annual General Meeting on the 30th of April this year. The balance sheet remains very solid with total equity of NOK 26 billion by the end of December, which gives an equity ratio of 49%. And the equity has increased gradually during 2024. Also, our financing position remains very robust and stable. And it's our clear focus to keep a strong liquidity position and a smooth and robust maturity profile. Net interest-bearing debt amounted to NOK 10.3 billion at the end of Q4 which was an increase of NOK 400 million from the previous quarter. And based on last 12 months EBITDA the debt leverage ratio amounts to 2.5, and this is a reduction from previous quarters. The target is clearly to bring the leverage down to our long-term financial target of between 1 to 2 times EBITDA. In December last year, Scope downgraded Elkem's credit rating from or BBB to BBB- The downgrade was due to slower-than-expected recovery in credit metrics due to weak market conditions. Elkem has now however been placed on a review for a possible upgrade by Scope on the 7th of February following the announcement of the strategic review of the Silicones division. As you may recall in the first quarter of 2024, we entered into a covenant waiver with our bank group, which reduced the interest coverage ratio temporarily from 4 to 3 times for all quarters in 2024. And by the end of Q4 our interest coverage ratio was 5.2 times, which clearly means that we are well above the original covenant threshold. Cash flow from operations amounted to NOK 318 million for the quarter and NOK 1.5 billion for the full year. The cash flow was -- for the quarter was negatively impacted by somewhat higher inventory levels towards the end of the year. And the plan is clearly to reduce the inventory level already now in Q1 and we are taking actions now to lower capacity utilization and improve sales. When it comes to the investments, target is to – the target was to reduce CapEx by NOK 2 billion compared to 2023. And although, reinvestments and strategic investments increased somewhat during last quarter, it remained well within this target for the year in total. So the total CapEx was NOK 3 billion, where NOK 2.1 billion was reinvestments and that represents 77% of D&A, which is somewhat lower than our financial targets. So let me finish up with some of the main takeaways from this quarter. First of all, we have initiated a strategic review of the Silicones division. We believe this is a very good move. And the goal is clearly to streamline Elkem and to enable accelerated growth and development of our leading positions within Carbon Solutions and Silicon Products. We're very happy to see that Silicones delivered the best results since the third quarter of 2022 and that we see very good improvements driven by operational efficiency programs and higher sales volumes. Total result for Elkem Group in 2024 improved, despite continued market headwinds and lower sales prices compared to 2023. And this is mainly explained by our improvement program, which exceeded targets of NOK 1.7 billion versus target NOK 1.5 billion. And going forward, we will definitely continue to benefit from strong market and cost positions and we are very well positioned to manage volatile markets. And since we have been talking about trade and geopolitical tensions, it's also our clear belief that we are very well positioned for this based on a very robust and diversified and regional business model. So with that, I hand over the word again to Odd-Geir, who will take us through the Q&A session.
A - Odd-Geir Lyngstad: Very good. Thank you, Morten and Helge. First I would like to give the opportunity to people present here to see if there are any questions. And as expected we have one. There are no microphones so...
Unidentified Analyst: Yes. So a couple of questions if I may. Firstly, can you comment on whether you have any concrete interest for the Silicones segment? Has anyone indicated to you that they might be interested at all?
Helge Aasen: The answer is yes.
Unidentified Analyst: Good. And in terms of the use of proceeds, if you receive a cash payment for example, do you see a need to repay debt in the remaining company? Or do you expect to distribute potential proceeds to shareholders?
Helge Aasen: I think it's a bit early to elaborate on the details on how that will be done. It will depend a lot on the nature of the transaction. So definitely of course, an issue that will be communicated when the time is right.
Unidentified Analyst: And finally can you say something about the CapEx level in the remaining company? Should we expect maintenance CapEx in the usual 80% to 90% range? And what can you say about what are potential growth investments here?
Helge Aasen: Maintenance will remain on the same level as before. Strategic projects, we are talking about growth opportunities. So obviously, we are positioning ourselves to look into that.
Unidentified Analyst: Can you give an example of potential growth opportunity?
Morten Viga: We know there are a lot of opportunities both organic growth opportunities but certainly also M&A opportunities. Remember, we have already number one positions, particularly in the Western world. We want also to expand in India, Southeast Asia. And there are a lot of opportunities, where we really can utilize our technology and market organizational leadership to make a difference. But we cannot be concrete before we actually announce the projects.
Helge Aasen: Thank you asking…
Odd-Geir Lyngstad: Very good. We have a few questions related to investments and investment levels as was alluded to here, following the opening remarks that we are selling the Silicones division to free up capital and to also invest in the Silicon Products and Carbon Solutions division, and also that we said that further investments will be needed in Silicones. So there is a question here that you mentioned that the Silicones segment require further investments going forward to keep its market position. What, kind of, investments are these, are they new factories or new R&D? Or are there restructuring going on?
Helge Aasen: I would say Silicones division in Elkem today is well-invested upstream. Technical condition is on a very good level. And to further develop here it's, obviously, to move focus downstream and improve the degree of specialization. So I would say the bulk of future investments will happen about -- will be about the downstream development.
Morten Viga: I think it's fair to say that we are already very well invested into the capital intensive part of that value chain given our new expansion projects both now in China that has been completed and in France that is being completed this quarter.
Odd-Geir Lyngstad: There are a similar question as to what was already asked. What the plans with the proceeds from the Silicones divestment are if you have specific plans for Silicon Products and Carbon Solutions? And also what, kind of, investments we need to develop those divisions going forward?
Helge Aasen: I think we probably answered that already.
Odd-Geir Lyngstad: On DMC prices, DMC prices have increased slightly very late. So that's something that happened over the last few days, but that has been picked up on. So there are a couple of questions on what we see as the drivers for these recent price increases for DMC and how sustainable we believe that those price increases are?
Helge Aasen: Yeah. We have seen some fluctuations on this for quite some time. I think our opinion is that this will remain on the -- within the current level that we have seen in the last few months for some time due to the overcapacity basically. So I don't think there's any particular change in trends that's now resulting in price increases.
Odd-Geir Lyngstad: There is also a question here. If we have benefited in the fourth quarter from any demand pull in silicone or silicon as a result of tariffs if we have benefited from that type of uncertainty?
Helge Aasen: No. I don't think we can say that tariffs has made any difference in the fourth quarter.
Odd-Geir Lyngstad: There is, kind of, a reference to a question on the page 20. So let me just go to that page very quickly. And the question is how we have calculated the net financial excluding silicones, and which assumptions we have used for net debt and so on. But, I guess, I can…
Helge Aasen: You can probably answer that even better than we can. So, yeah, please.
Odd-Geir Lyngstad: No, we have used the group numbers including the silicones. It's the total numbers. So not -- if you look more into details on the numbers, you see that the profit and loss balance sheet and cash flow statement of Elkem is split between the continuing business and the discontinued business. But all key financial ratios as Morten said are calculated on the basis on the full set of numbers including the silicones business. And also a question related to the sales, who are the likely buyers of the Silicones division? Do you have any news on that?
Helge Aasen: We have to be patient. It will come. We cannot comment on specific interested parties, of course, at this point in time so.
Odd-Geir Lyngstad: There is also a question related to more of the kind of trade restrictions or trade-related actions that are going on. And what is Elkem's position on the ongoing European Commission's investigation into silicon metal imports? Do potential safeguard measures affect your supply chain or pricing strategy in Europe?
Helge Aasen: It could potentially have an impact and we are part of it and supporting these initiatives. When it comes to trade tensions, in general, I think we are at the moment in a very unpredictable territory. It's difficult to say what will actually be implemented. There's a lot of initiatives taken from the new U.S. administration and clearly in negotiation. So, we'll see what it amounts to. I think as I also mentioned in my presentation, we think the products that we represent in general are products where our key end markets are in our net importers. So, in other words that should indicate that the impact on pricing would in a way balance out any new tariffs. But I don't know if you want to add something. I think--
Morten Viga: I know there is a lot of concern about this. And of course we like free trade. But I think the fundamental thing is that both the EU and the U.S. desperately need Elkem's products. Silicon metal is on the list of strategic raw materials on the strategic value chains in both regions because it's going to solve many critical value chains. There is a shortage. There is a short position in both markets. So, we believe it's not realistic at all that these two regions will put up any big trade tariffs because that will really hurt themselves. And once again Elkem is clearly the leading player in both regions in terms of technology and in terms of cost position supporting these markets. So, we are very confident that we will have a good position however this turns out.
Odd-Geir Lyngstad: Very good. One of the--
Helge Aasen: From a very confident CFO…
Odd-Geir Lyngstad: And then a question because we have mentioned the maintenance stops in Norway in the first quarter both in Iceland and Norway and there is a question here if you can comment on the effects of that.
Morten Viga: No, I don't think we will give any let's say quantified effects of it. We are taking the opportunity to upgrade our plants. That will have a cost during the quarter, but it will be a very wise decision because then we are ready to run full blast when the market picks up again.
Helge Aasen: In Silicon Products, we have 17 furnaces and they have a lining, which typically has a lifetime of around between 15 and 20 years. So, on average, we will have to do a longer relining stop on that furnace every year. And of course, it's not timed exactly year-by-year, one every year. So, -- but this is part of normal operations I would say.
Odd-Geir Lyngstad: Very good. Let's check if there are some final questions from the audience here. It doesn't seem to be that.
Odd-Geir Lyngstad: So, then that concludes our presentation here today. So, thank you very much for following the presentation. Have a good day.